Operator: Good morning, ladies and gentlemen, and welcome to the Advanced Drainage Systems Third Quarter Fiscal 2022 Results Conference Call. My name is Katrina, and I will be your operator for today's call. [Operator Instructions] 
 I would now like to turn the presentation over to your host for today's call. Mr. Mike Higgins, Vice President of Corporate Strategy and Investor Relations. 
 Sir, you may begin. 
Michael Higgins: Good morning, everyone. I'm here today with Scott Barbour, our President and CEO; and Scott Cottrill, our CFO.  
 I would also like to remind you that we will discuss forward-looking statements. Actual results may differ materially from those forward-looking statements because of various factors, including those discussed in our press release and the risk factors identified in our Form 10-K filed with the SEC.  
 While we may update forward-looking statements in the future, we disclaim any obligation to do so. You should not place undue reliance on these forward-looking statements, all of which speak only as of today.  
 Lastly, the press release we issued earlier this morning is posted on the Investor Relations section of our website. A copy of the release has also been included in an 8-K submitted to the SEC. We will make a replay of this conference call available via webcast on the company website.  
 With that, I'll turn the call over to Scott Barbour. 
D. Barbour: Thank you, Mike, and good morning, and thank you all for joining us on today's call. We achieved a record $715 million in sales in this third quarter, an increase of 47% compared to the same period last year. Sales growth was driven by both pricing and volume at ADS and Infiltrator. 
 Construction market Pipe volume increased double digit in the third quarter, with particular strength in the nonresidential, new residential and infrastructure end markets. Agriculture sales were down just slightly, driven by the strategic decision we made earlier this year to service commercial markets in areas where we experienced material and labor shortages.  
 This came at the expense of growth in the agriculture market, but importantly, we achieved favorable pricing in this market. The material availability issues are now behind us, and we can again begin to start the work of growing our agriculture market share as we successfully did in FY '20 and FY '21.  
 Infiltrator sales increased 51%, primarily due to favorable pricing as well as a slight volume increase with strong growth in the Southeast and southern regions of the United States. Roy Moore and the entire team at Infiltrator are doing a great job managing record levels of demand, working through material price and availability issues, while achieving record production levels in their factories, installing new capacity and executing the Jet Polymer acquisition this past quarter.  
 Additionally, international sales increased 23% this quarter with growth in each of the businesses, Canada, Mexico and exports. Not only were we able to execute price and volume gauge in these markets, but we also began importing large volumes of Pipe products into the Northeast from Canada and into Texas from Mexico to improve service levels to customers and reduce our backlog levels.  
 This past year is the first time ADS has meaningfully used these international facilities at scale to supplement domestic production for U.S. customers. This is a competitive advantage for ADS and demonstrates the scale and capacity we can bring to our distribution partners and customers.  
 I want to take this opportunity to also thank the ADS and Infiltrator employees for their outstanding work in a really challenging environment. The majority of our employees are in manufacturing, transportation and sales roles. I cannot say not to give credit to these folks, executing at a high level in this environment of dynamic price situations, high production rates and high rates of transporting our goods while dealing with all kinds of disruptions and labor shortages.  
 Our backlog and pace of orders remain favorable as well as our ability to capture price in the market, which gives us confidence in the updated sales targets we issued today. Overall, the demand environment remains very favorable, and our leading indicators point to continued strength for the foreseeable future.  
 To that end, we have continued to invest in expanding our capabilities with production coming -- capacity coming online at both ADS and Infiltrator this fourth quarter. The new equipment will modestly benefit production in the fourth quarter with a larger impact that will be realized in FY '23.  
 The Infiltrator capacity comes online will have a more significant immediate impact and these investments will allow us to bring down the high levels of backlog, build back inventory levels and service the strong demand we see in our end markets, particularly in the key growth regions like the Southeastern United States.  
 Moving to profitability. Our adjusted EBITDA increased 27% this quarter. We realized the full benefit from price increases implemented over the last several quarters, covering inflationary pressure cost on materials, transportation and labor. This quarter, we faced many of the same challenges around labor shortages and the elevated transportation cost. 
 I want to note that the second half plan for increased profitability over prior year that we shared in November is right on track with what we communicated. The price levels have caught up with the inflationary pressures, and we have line of sight on the year as we have consistently communicated and reflected in our guidance ranges.  
 We took actions this past summer to simplify their production processes, reduce our SKUs, decrease changeovers all to increase our production rates, and these programs are working as we anticipated. Compared to previous quarters, availability of raw materials has normalized, though material costs remain a little elevated overall. We are beginning to see some modest relief in material pricing as resin supplier inventories rise and availability is robust.  
 However, within the manufacturing organization, we were unable to consistently operate all our production lines we wanted to run due to open production positions and absenteeism. This trend continued in January, though we did see modest incremental improvement as we went through the month.  
 So I want to turn to some other recent announcements that we've made. In January, we issued our third annual sustainability report. Sustainability is a core part of ADS. Our reason is water. We protect and manage water, the world's most precious resource safeguarding our environment and communities. And it's the second largest recycling company in North America. We are committed to advancing quality of life and sustainable solutions to water management challenges.  
 This year's report includes 10-year company-wide sustainability goals, including our commitment to science-based targets to reduce our greenhouse gas emissions. In this report, we furthered our commitment to reducing our environmental impact, enhancing the safety of our people, creating a diverse, inclusive and equitable workforce and improving the communities we touch. Through these new goals, we will reduce our absolute greenhouse gas emissions by over 40% from our baseline year, while simultaneously increasing our use of recycled plastics by nearly 100% over the same time period. 
 Additionally, in December, we announced the acquisition of Jet Polymers further demonstrating our commitment to recycling and strategic M&A. Jet Polymers is the largest supplier of recycled polypropylene to the Infiltrator business. Through this acquisition, we will gain access to more recycled material to support the growing business in the Southeast, plus diversify and gain scale in the polypropylene materials for the company.  
 Finally, today, we made 2 additional really important announcements. First, this week, our Board of Directors passed a resolution that will ultimately lead to the final allocation of the remaining ESOP shares to the participants. The company contributed $325,000 to the ESOP to enable the ESOP to repay the remainder of the loan 1-year ahead of the ESOP expiration date in March of 2023. Scott Cottrill will discuss some additional information on the ESOP in a moment, but to me, there are 3 key takeaways. Preferred shares in the ESOP will convert to approximately 12 million common shares in April. 
 After this event, participants will be able to diversify and manage their retirement accounts, more like a typical 401(k) plan; and third, this transaction does not impact our adjusted EBITDA or free cash flow and is accretive to EPS beginning next year in FY '23.  
 Second, today, we announced that the board approved a new $1 billion open market multiyear stock repurchase program. This is the largest repurchase authorization we announced today. Recall that we executed a $292 million share repurchase in the May to August timeframe this year, and we plan to execute this program over time without hindering our ability to allocate capital to our top 2 strategic priorities, investing organically in the business to drive growth, productivity, safety and automation as well as to make strategic acquisitions.  
 The strength of our balance sheet, our operational excellence initiatives and cash generation profile of both ADS and Infiltrator give us confidence in executing our capital deployment priorities. This year, we nearly doubled our capital spending to $130 million to $150 million, executed on the acquisition of Jet Polymers, increased the dividend by 22% and executed a $292 million of share repurchases.  
 So before I turn that call over to Scott -- this call over to Scott, I'd also like to announce, we are hosting an Investor Day on March 10 in New York. The event is available in-person and virtually. We will issue new 3-year targets; do a deep dive of the Infiltrator business; and give updates on our sustainability, sales and operations programs. If you have any questions about the event, please reach out to us through our Investor Relations team.  
 With that, I'll turn it over to Scott to further discuss the financial results. 
Scott Cottrill: Thanks, Scott. On Slide 5, we present our second quarter fiscal 2022 financial performance. From a top line perspective, we generated 47% growth year-over-year driven by price and volume at both ADS and Infiltrator. 
 Legacy ADS pipe products grew 53%, Allied Product sales grew 33% and Infiltrator sales increased 51% with double-digit sales growth in both tanks and lease field products. We continue to demonstrate our pricing power with significant year-to-date price increases across each of our segments. 
 In addition, our Pipe segment experienced double-digit volume growth in the construction markets this quarter. Our consolidated adjusted EBITDA increased 27% to $176 million, resulting in an adjusted EBITDA margin of 24.6% in the quarter. 
 Importantly, we hit the full run rate of our previously announced pricing actions in the third quarter and not only covered resin increases year-over-year, but also covered incremental labor, manufacturing and transportation costs as noted on Slide 5 of our Q3 earnings presentation. 
 It is important to note that our manufacturing and transportation costs remain at elevated levels. But I want to reiterate Scott's comments. Our employees continue to work hard and do a great job despite the day-to-day labor shortages we are facing. 
 Moving to Slide 6. We generated $94 million of free cash flow year-to-date. In addition to the growth-oriented capital investments we're making, working capital was a significant use of cash year-to-date as we purchased raw materials and built inventory at a much higher cost compared to last year in order to support the demand we are experiencing. 
 While we spend a lot of time talking to investments in CapEx to support growth, productivity and drive improved service levels, it is important to highlight that we view our investments in working capital this year the same way. From a capital deployment perspective, we are committed to efficient and disciplined capital allocation to drive shareholder value. 
 Our first priority for capital deployment remains investing organically in the growth of our business, as we view this as the highest return and lowest risk use of our available capital. For the full year, we continue to expect between $130 million and $150 million in capital expenditures with the largest investments focused on future growth, followed by our productivity and automation initiatives. 
 In addition, we continue to work an active M&A pipeline. We are pleased with the recent acquisition of Jet Polymers, a recycling company located in the Southeastern United States. We will remain focused on staying close to our core, including regional pipe capacity, Allied Products that fit our solutions package and recycling capacity to support the growth of the business. 
 Beyond our first 2 priorities, the share repurchase authorization announced today demonstrates our commitment to a balanced capital allocation strategy and an efficient use of our balance sheet. 
 Finally, today's ESOP announcement is another way to show appreciation to our employees for the great work they have done. This will allow our employees to have full control over their shares 1 year ahead of our original plan. This transaction will result in a noncash charge of approximately $30 million to $35 million in the fourth quarter of this year to reflect the additional grant of ESOP shares to our employees. 
 There is no impact to adjusted EBITDA or free cash flow in fiscal year 2022. Beginning in fiscal 2023, next year, we will replace the current ESOP compensation expense with an employer 401(k) match program. The 401(k) match program will result in approximately $8 million to $10 million of annual compensation expense. 
 It is important to point out that despite the conversion of the ESOP preferred shares to common shares, this transaction will actually be accretive to our earnings per share calculation. We plan to issue pro forma financial statements illustrating such later today after we file our Form 10-Q. 
 Finally, on Slide 7, we have updated our fiscal 2022 guidance. Based on our performance and pricing actions taken to date, order activity, backlog and current market trends, we currently expect net sales to be in the range of $2.675 billion to $2.725 billion, representing growth of 35% to 37% over the prior year. 
 Our adjusted EBITDA guidance is unchanged at a range of $635 million to $665 million, representing growth of 12% to 17% over last year. 
 With that, I'll open the call for questions. Operator, please open the line. 
Operator: [Operator Instructions] Our first question is from Matthew Bouley with Barclays. 
Ashley Kim: This is Ashley Kim on for Matt today. So just first with the capacity plans that you have coming on, how do you plan to maximize utilization on that new capacity, just given, one, the shortages in manufacturing labor? And then two, if you can get the product made getting the transportation capacity to deliver it? 
D. Barbour: Well, I think -- this is Scott Barbour. So that's a good question. And I think the job 1 will be to the staffing. And you're right, you bring in new capacity you got to have people to run that. And we have been recruiting ahead of that equipment. 
 I would say that is coming on fastest at Infiltrator because some of the investments we've made there come on first. Those machines are up and running now and staffed.  Some cases, Ashley, you might move people from older, less productive equipment to newer, more productive equipment. But net-net, we're adding people there. 
 Same is happening in a couple of the ADS pipe plants. We're a little fortunate in that the first 2 machines we're bringing in, which are going into Florida, labor is a bit more available there than in some of our other areas. But once you get that done, you push the bottleneck to the transportation. 
 And I think the transportation kind of works itself out. On any given day, you could probably be shipping more you can get a few more trucks. But I think it kind of tends to even out a bit. It just comes at a cost, an inflated cost versus prior years, which is what is the most painful. So... 
Ashley Kim: Great. And then just for my follow-up, on your longer-term view with your plans to grow recycling, just appreciating that target for 1 billion pounds of recycled material that you kind of put out there in that ESG report. But could you just help us bridge the gap to getting there? 
 What would it take between scaling up material sourcing or any kind of regulatory hurdles? And then maybe just some color around the eventual margin impact that you could see there? 
D. Barbour: So we'll talk a lot about this at the Investor Day, but it's really going to come from 3 different things in our program that we think about. One is, you got to get the supply of the raw materials and expanding relationships with expanding the [indiscernible] expanding the way -- the material you'll go after to kind of bring into that input stream. The Jet Polymer acquisition is a great example of an acquisition that was driven by a company that had a really nice supply of material that we knew we could grow. 
 Roy and the team at Infiltrator knew they could grow that source of supply. And we said -- I think over the last what year, we sent our people out much more aggressively looking for that supply. And that's number 1, is you've got to increase it a lot. And that's feet on the street, it's acquisitions, it's a lot of stuff. 
 Number 2 is you got to add capacity. And that capacity is going to come through acquisitions like Jet Polymer or probably new facilities that we'll have to do. Similar to what we do in Pennsylvania and Iowa, we have smaller one in Ohio, a smaller one in Georgia, that do the processing of this material for us and then feed into the pipe plants. 
 And then number 3 is in the existing places where we do recycle Pennsylvania, Iowa, Ohio and Georgia, we'll do add-on capacity debottlenecking of those operations to try to incrementally add their capacity. So you add that all up, and that's how you get to the extra 500 million pounds. That's the logic that we're using. 
Operator: Our next question is from  Jake Jarnigo with Baird. 
Jake Jarnigo: Hopping on for Mike this morning. So first question here, I guess, just I'll give you the opportunity to expand a little bit on the forward-looking comments specifically on underlying demand. 
 Just an update on what you're hanging on the ground, our new projects continuing to come in, are conversations getting a little more tense around inflation and price points and things like that? Any incremental color there would be helpful. 
D. Barbour: Okay. Well, I would say that -- let's just talk about the commercial and what we would call the nonresidential. We see a pace of quotes and orders coming in that are on par, if not, maybe, slightly better than what we saw over the past 6 months. I mean it's really quite robust in that area. 
 I would say new residential for both pipe and Infiltrator remain very strong. Now we're -- we continue to work off backlog that was pretty high for that. And so the shipment rates are pretty good, but the incoming orders in that, again, remain good. 
 And recall that on the Pipe side, we're at the very front end on land development. On the back-end side, we're kind of at the home completion, which I saw some stuff from the Infiltrator guys the other day where that's lengthened out due to labor shortages that used to be kind of home completions occurred 6 to 9 months. 
 Now that's kind of 9 to 14 or 16 months. So we're pretty -- we feel pretty good about that demand and working off that backlog. As the previous question was, it's a matter of being able to run your lines and get all those positions filled and absenteeism has not been easy here as the COVID variant has hit us. 
 Transportation is -- can be a bottleneck. We tend to be able to work our way through that. But the color for the demand side, I would say, is pretty good, if not a little bit better than what it was. The agriculture business is -- it's been horrible weather, cold in our regions, it's kind of shut down now. We made some choices last year not to grow that business at the rate it had been growing. 
 We think we got material and capacity to kind of reignite that this year. So that team is very anxious to get out there. And as is our Infiltrator team with some really good initiatives around some new territories and sales things, particularly in some of their active on site septic products like the Presby product line in particular. So we feel good about that. 
Jake Jarnigo: Great. That was very helpful, Scott. Secondarily, and maybe just to level set us a little bit. Obviously, now we're at realizing kind of the full rate of price increases that came in, it sounds like the expectation is for incremental capacity to start coming online at the start of your fiscal 2023. 
 So in theory, does that mean maybe we see some -- in terms of your top line, some added seasonality relative to the normal just because those things are going to lay in, and you're going to start to catch up on your backlog a little bit. Am I thinking about that the right way? 
Scott Cottrill: Q4 is a little bit difficult, right, to kind of make that assumption, but directionally, you're thinking about it the right way. I would say more as we round the corner into the construction season and kind of that March, April turning into Q1 of next year, you'll kind of see that the bullishness come in and we'll talk a little bit more about that at Investor Day as well. But you're thinking about it the right way as we progress. 
D. Barbour: The way we're thinking about it, this is Scott B. That was Scott C. The way we're thinking about it is, we got a -- the way we discuss it right now is fourth quarter has a lot of variability in it for us. We're really pleased with the third. We got line of sight. 
 We say you can -- we can lose the game in January and February. We can't win it. We got to win it in March, but we believe that thing is going to really kind of take off as we get into late March and April from all the activity we've been seeing. 
 So our normal seasonal and shipping it on and profitability stuff is a little wacky now. We think it will kind of return more normal next year, perhaps, perhaps. But I just think we had to deal with what the cards we were dealt this year and getting that pricing up in those first 6 months, experiencing this inflation, figuring out programs to combat it. And we got on top of it in the third. And we'll be on top of it in the fourth. 
Operator: [Operator Instructions] Our next question is from Spencer Kaufman with UBS. 
Spencer Kaufman: Nice results. Maybe just starting on the first question from a prior analyst. When you guys are building out your revenue assumptions for next year and fully appreciating that you haven't given that out yet. But I guess I would expect probably somewhere in the mid- to high single-digit range, but I don't want to take those words out of your mouth. 
 But I guess, what percentage of topline growth for next year would you expect to be from pricing versus volume? And how does that compare to "normal" time for you? And if raw materials come down as we hope they do, do you expect to be able to hold on to most of your pricing? 
Scott Cottrill: So I'll talk -- Scott, this is Scott Cottrill. I'll talk to the last part first. Yes. It's more than resident input costs, right? It's the whole paradigm around the value that we provide. It's also when you look at labor, manufacturing, transportation, we don't expect these inflationary cost pressures to go away. 
 So we're going to continue to provide outstanding service to our customers and get a good return there. Will there be some run rate benefit from the price increases we've got this year, next year? Absolutely. Will there be some volume increases next year as well due to capacity, demand backlog? Absolutely. 
 We'll get into more of that here as we move forward and talk to how things are lining up for next year. But you're absolutely correct, and we'll provide you more guidance with that at the Investor Day as well as when we provide our guidance for next year. But directionally, you're absolutely spot on. 
Spencer Kaufman: Okay. That makes sense. And maybe for my follow-up question, EBITDA margins were obviously pretty challenged this year despite inflation and supply chain disruptions and whatnot. And also 2021 -- fiscal year 2021 was a really remarkable year for you guys. 
 I guess the question is, how are you guys thinking about the path to getting back to sort of those high 20% EBITDA margins? And would you expect to see the largest improvement in margins next year? I guess what's sort of the glide path there? 
Scott Cottrill: Yes. So the way I'd talk to that as well, this year was about dollars, right? We've talked about that -- and as you saw in Q3, our pricing got in front of resin, labor, manufacturing, transportation, like we've been talking about it. So very happy with that. 
 When you look at our Q4 guidance, and you look at that implied Q4 performance to get to the midpoint of our ranges, you also see the margin story and expansion coming in on a year-over-year basis, again, like we've been talking about it. 
 So is there the opportunity to expand margins at a clip that would be greater than the 100 basis points we normally talk to? Absolutely. Is that next year? Is it the year after that?  Don't know and don't want to pigeon hole it there. 
 But again, a lot of hard work from our employees, a lot of strategies that have been effectively implemented and a lot of things still coming our way that are lining up, and we expect next year to be a good year. So yes, there could be a year or a period of time where we have some really nice margin expansion coming. 
Operator: That concludes the Q&A session. I would now like to turn it back to Mr. Scott Barbour. 
D. Barbour: All right. Thank you. And we appreciate the people participating today and the questions. It's probably not great weather where a lot of folks are today. And I know we're kind of watching our phones and stuff. 
 We got a couple of plants that won't be -- won't have great shipments today because of the weather and a couple of distribution yards. But we'll find our way through that. But we do appreciate your participation. Many of you, we look forward to talking to over the next couple of hours. 
 And we're now preparing for our Investor Day in March. Again, we're very excited about doing this again. We thought the one we did in FY '18 or late 2018 was really good for us as a company and good for our investor base. 
 And I think there's a lot of things that we've built on since that time and a lot of things that we'll be talking about that, I think, are relatively new to the company. And honestly, we had a lot of work over the last couple of days with our board to kind of not only report some good results and confidence in our year, but then the wind down of the ESOP and a $1 billion share buyback, which I'm surprised no one asked us about, but we'll execute that over a different couple of -- over several years. 
 But we do appreciate it. We look forward to talking to you here in the future. And stay well. 
Operator: Thank you, presenters. This concludes today's conference call. Thank you again for participating, and have a wonderful day. You may all disconnect.